Operator: Good day, ladies and gentlemen, and welcome to CymaBay's First Quarter 2021 Financial Results and Business Update Conference call. [Operator Instructions]. Please be advised that this call will be recorded at the company's request. It is also being webcast live on the Investor section of CymaBay's website at www.cymabay.com. Now I would like to turn the call over to Mr. Dan Menold, Vice President of Financial at CymaBay. Mr. Menold, you can begin.
Daniel Menold: Thank you, operator, and good afternoon, everyone. I hope that you've had a chance to review the press release we issued announcing our first quarter 2021 financial results and business updates. You can access that release on our website under the Investors tab. Joining me on the call today are Sujal Shah, Chief Executive Officer; Dr. Chuck McWherter, Chief Scientific Officer; and Klara Dickinson, Chief Regulatory Officer. Sujal will provide an update on recent progress in the build-out of our leadership team to deliver on our value-creation strategy. Chuck will discuss an update on our pipeline diversification, and I will provide a brief summary of our financials. Following our prepared remarks, we'll be available for Q&A. Before we begin, I'd like to remind everyone that statements made during this conference call, including the Q&A session, relating to CymaBay's expected future performance, business prospects, events or plans, including clinical plans, regulatory approvals and anticipated time lines and data release dates, cash runway and planning for commercialization of any future products are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, actual outcomes and results are subject to risks and uncertainties and could differ materially from those forecasts due to the impact of many factors. The company assumes no obligation to update or supplement any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Participants are directed to the cautionary statements set forth in today's press release as well as the risk factors set forth in CymaBay's quarterly and annual reports filed with the SEC for factors that could cause actual results to differ materially from those anticipated in the forward-looking statements. This conference call is the property of CymaBay, and any recording or rebroadcast is expressly prohibited without the written consent of CymaBay. At this time, I'd like to turn the call over to Sujal.
Sujal Shah: Thank you, Dan. Good afternoon, and thank you for joining us today. Less than 2 months ago on our last call, we highlighted the initiation of RESPONSE, our global Phase III registration study of seladelpar for patients with primary biliary cholangitis, or PBC; and the expansion of our clinical pipeline with MBX-2982 and CB-0406. This past Monday, and then again earlier today, we announced further significant progress with the strengthening of our executive team with the additions of Lewis Stuart as Chief Commercial Officer; and Dr. Dennis Kim as Chief Medical Officer. These seasoned biotech executives come with considerable talent and energy to apply their leadership and experience as we move into a period in which we plan to complete development and regulatory submissions for seladelpar, begin pre-commercial preparations and continue efforts to diversify our research and development. I am extremely pleased to have Dennis Kim joining CymaBay as our CMO. Dennis is a physician scientist, trained in endocrinology and with significant clinical development and executive experience in an emerging biotech environment that he acquired during substantial tenures at Amylin, Orexigen and Zafgen. Dennis will join the executive team reporting to me and will lead all clinical functions, including development, clinical operations, biometrics and medical affairs. His track record fits precisely CymaBay's needs to have him lead a highly motivated and productive clinical function that is integrated with research, regulatory, manufacturing, business development and commercial efforts. I'm confident that many of you will learn that Dennis also brings an acumen well suited to articulate the science, medicine, plans and opportunities of our programs to broad audiences, including medical experts, investigators, patient groups, investors and analysts. I am equally delighted to welcome Lewis Stuart as our Chief Commercial Officer. Just a little over 2 years before seladelpar's potential launch, this timing is ideal as we add a recognized commercial leader to implement a thoughtful and efficient build of both a strategy and an organization. Lewis comes with deep experience in commercial leadership and product launches in the emerging biotech setting. We were deeply impressed by his knowledge and experience in a variety of situations, including at CV Therapeutics and most recently at Myovant, both of which require the self-reliant approach of standing up a product launch. But also post launch, they ultimately involve integrating marketing and sales efforts into much larger entities. Drawing upon this exposure to a broad set of practices, Lewis will lead all aspects of the commercial function, including marketing and sales. He will join the senior team reporting to me and will be intimately involved in strategic planning across many functions. There will be many opportunities to get to know Lewis as one of our spokespersons as he moves our commercial plans forward. I expect many will gain an appreciation for the energy and enthusiasm he brings that is grounded in his aptitude for acquiring knowledge and using critical thinking. The announcement of these critical C-level hires serves as a capstone to the continued progress we made, as discussed in March, with the initiation of 2 studies in patients with PBC, the Phase III RESPONSE study and the long-term safety ASSURE study. Our remarks today will be brief, mainly reiterating our guidance on timing for these studies, while providing some additional color on study population. We will also describe progress being made on MBX-2982 and CB-0406, our other pipeline projects, for which we expect to be able to provide further updates in the second half of 2021 as we seek to bring additional novel treatment alternatives to patients. We will conclude with key corporate and financial updates. Completing the development of seladelpar for patients with PBC remains our top priority. In the first quarter, we initiated RESPONSE, a 52-week placebo-controlled, randomized global Phase III registration study, evaluating the safety and efficacy of seladelpar in patients with PBC. RESPONSE is intended to enroll 180 patients in a 2:1 randomization to oral once-daily seladelpar 10 milligrams or placebo as an add-on therapy to patients with an inadequate response or intolerance to first line ursodeoxycholic acid therapy. The primary outcome measure is the composite biochemical responder rate after 52 weeks for alkaline phosphatase and bilirubin, the same endpoint used to register Ocaliva, the only approved second-line treatment alternative for PBC patients. We expect our strategy for differentiation to potentially be significantly strengthened by 2 key secondary endpoints, the rate of normalization of alkaline phosphatase at 52 weeks and the change in pruritus from baseline to 6 months in patients with moderate to severe pruritus as reflected in a baseline pruritus numerical rating scale value of 4 or greater. As many of you will know, the design for response and confidence in the selection of endpoints is significant given the shared population, endpoints and the safety and efficacy demonstrated by the seladelpar 10-milligram dose in the completed Phase III study, ENHANCE, which was stopped early. The results for ENHANCE were presented in a late-breaking presentation at AASLD last November. Seladelpar 10 milligrams achieved a high degree of statistical significance for all 3 of the same endpoints being used in RESPONSE after only 12 weeks of treatment. Our approach in the development program for seladelpar is to collect data necessary to characterize the benefit risk of seladelpar across the broadest population of patients with PBC. We have been asked recently about patients with PBC and their underlying stage of disease as it relates to cirrhosis. Broad categories of increasing severity of fibrosis can be described as non-cirrhotic, compensated cirrhotic and decompensated cirrhotic. Within compensated cirrhotic are substages of patients with and without clinically significant portal hypertension. Clinically significant portal hypertension develops as the fibrotic liver becomes increasingly stiff and is thought to often be a precursor to decompensating liver-related events. Measuring portal hypertension is an invasive burdensome procedure. And so a clinical signature for clinically significant portal hypertension can come from a number of less invasive criteria as recommended in published practice guidelines. Across 2 significant studies with seladelpar, enrolling more than 360 patients with PBC, there were over 50 patients with compensated cirrhosis. Some of which were treated for 2 years or more, and clinical data from some of these have been highlighted in published abstracts and presentations given at past medical meetings. Due to the identical eligibility criteria and overlap with clinical sites, we expect the majority of patients that enroll in response to also be non-cirrhotic, but would nonetheless expect somewhere around 15% to 20% to be compensated products. Patients in this population would eventually be in the target population. And so it is important that they be studied for safety and efficacy. In this quarter, we continue to make headway with our clinical development program for seladelpar, including activities for other NDA-enabling drug-drug interaction studies and special population studies for patients with renal impairment and PBC patients with hepatic impairment. Results from the hepatic impairment study, in particular, will provide valuable insights into the exposure and potentially, the safety and efficacy of seladelpar in PBC patients with various degrees of cirrhosis. In the first quarter, we also initiated ASSURE, an open-label long-term study of seladelpar in patients with PBC in order to collect additional safety data to support registration. We expect seladelpar to have one of the most robust safety databases in PBC patients ever submitted for an NDA. Our most important focus remains to accelerate site activations, screenings and randomizations in RESPONSE over the coming quarters. Our efforts in RESPONSE with 80 fewer patients are nonetheless on the same scale globally as they were for ENHANCE. This is being done in an effort to mitigate challenges posed by the pandemic and greater competition for patients. It remains our goal to enroll the study by the end of the year, and we will look to provide additional updates on time line later this year. Now let me turn the call over to our Chief Scientific Officer, Dr. Chuck McWherter, to cover updates on our early clinical stage MBX-2982 and CB-0406 programs. Chuck?
Charles McWherter: Thanks, Sujal. I'm pleased to announce that the first patient visit has occurred for the Phase IIa proof of pharmacology study with MBX-2982, using hypoglycemic insulin clamp procedures in patients with type 1 diabetes. The study is being conducted at AdventHealth Translational Research Institute in Orlando, Florida, and is fully funded by the Leona M. and Harry B. Helmsley Charitable Trust. CymaBay retains all rights to MBX-2982. This is a double-blind, randomized, placebo-controlled, 2-period crossover study that will examine the effect of MBX-2982 versus placebo to stimulate the release of glucagon under hypoglycemic conditions in type 1 diabetes. The endpoints will be maximal glucagon release, an area under the curve for glucagon concentrations. The study is intended to include about 30 subjects, and the investigator believes it will be complete in the second half of this year. As a brief reminder, MBX-2982 is a GPR119 agonist, discovered and developed by CymaBay. It has completed 5 previous clinical studies, including in prediabetic and diabetic subjects. The product concept being investigated for MBX-2982 is as an agent to potentially prevent hypoglycemia in patients with type 1 diabetes, a significant cause of morbidity and a risk for mortality in individuals with type 1 diabetes. Its action is expected to result from the stimulation of glucose-regulated release of glucagon, the counter regulatory hormone to insulin, which is secreted from pancreatic alpha cells and which serves to return low blood glucose levels to normal in hypoglycemic conditions. In recently published studies with isolated human pancreatic islets, GPR119 agonists were shown to enhance glucagon secretion in response to low but not to high glucose levels. And further, they were able to prevent insulin-induced hypoglycemia by increasing glucagon secretion in a rat model. The translation of these findings to the clinic is being evaluated in this Phase IIa proof of pharmacology study. We continue to progress with the Phase I single ascending and multiple ascending dose PK study of CB-0406 and expect to have results to share later this year. The objective of this study is to establish its pharmacokinetic, safety and maximum tolerated dose in healthy subjects. As a reminder, we are evaluating CB-0406, the active metabolite of the prodrug, arhalofenate that had previously been studied in diabetes and gout. CB-0406 is a PPAR gamma non-agonist ligand that attenuates the expression of inflammatory genes. It has been shown to block innate immune responses through the NF-ÎºB and NLRP3 inflammasome pathways. In published studies, NLRP3, Caspase-1 and IL-1 beta were all decreased by CB-0406 in response to inflammatory triggers in macrophages. It was also shown to attenuate the NLRP3-dependent pathophysiology of gouty inflammation when dosed as the prodrug in a mouse model and also in a Phase II clinical study in gout patients. Based on pharmacokinetic studies in monkeys, we believe that CB-0406 have greater exposure, potentially greater efficacy than does the prodrug arhalofenate. Decisions on any future development are contingent on its achieving a favorable profile with respect to safety and exposure. We believe CB-0406 may have utility in various inflammatory diseases and are currently exploring potential opportunities to advance this development, pending the results of the ongoing Phase I study. Sujal?
Sujal Shah: Thank you, Chuck. Although this business update is coming only a few weeks since our last earnings call, we would point to significant news. The importance of filling the commercial and clinical leadership roles with Lewis Stuart and Dennis Kim is worth emphasizing. Since the lifting of the hold on seladelpar, we have aggressively filled out the roster of talent, up and down the organization, including leadership at all level and on our executive management team. In early April, we expanded and strengthened our Board as we announced the appointment of biopharma veteran, Tom Wiggans; and commercial leader, Janet Dorling. Tom's experience leading such biopharma companies as Dermira, Peplin and Connetics through development to commercialization makes him a perfect addition to guide CymaBay through our next phase of business growth. He has a distinguished career, both as an operator and director across numerous pharma companies. Janet knows us well, having been our past Chief Commercial Officer. This gives her unique insights into seladelpar's potential opportunity to significantly advance patient care in PBC. This, coupled with her executive leadership, as the commercial executive at 2 of the most successful biotech companies in the world, Gilead and Roche/Genentech, should enable her strong strategic and operational contributions to the company in the years ahead. Progress on RESPONSE, ASSURE and other NDA-enabling studies for seladelpar in PBC is being made every day. Throughout the company, it is clear that completing the development of seladelpar for PBC is imperative above all else. Even so, we had important progress with the first patient visit for the MBX-2982, proof of pharmacology study and the Phase I study for CB-0406 is nearing completion. The progress on our portfolio through our people highlighted today is something that we will continue to emphasize. Finally, before we turn to Q&A, I'll ask Dan to provide a brief summary of our financials in the first quarter. Dan?
Daniel Menold: Thank you, Sujal. Over the course of 2020, we successfully managed our overall cash expenditures, while we completed our NASH study investigation, obtained the FDA's clearance to restart development of the seladelpar program, and commenced our response in ASSURE clinical studies and other NDA-enabling studies necessary to complete our late-stage development of seladelpar in PBC. Our emphasis on operating efficiency continued into Q1 of 2021, albeit balanced against our need to increase our spending appropriately to support our expanding clinical development activities in PBC and other development initiatives. Overall, we completed the quarter ended March 31, 2021, with cash, cash equivalents and short-term investments totaling $125.5 million, which we believe is sufficient to fund our current operating plan, including the execution of the development program for seladelpar in PBC into mid-2022. Turning now to a brief review of our operating results. Net loss for the 3 months ended March 31, 2021, was $17.6 million or $0.25 per share compared to net loss of $13.1 million or $0.19 per share in the 3 months ended March 31, 2020. Net loss was higher in the 3 months ended March 31, 2021, compared to the corresponding period in 2020, primarily due to an increase in operating expenses, including clinical trial and labor-related expenses as a result of our continuing efforts to conduct RESPONSE, ASSURE and other late-stage clinical activities associated with our development of seladelpar in PBC. As mentioned in our prior updates, given the FDA's lifting of the clinical hold on the seladelpar program last year in July 2020 and our subsequent restart of seladelpar in PBC and further exploration of other clinical development opportunities, our cash expenditures are expected to increase in the future as we advance our restarted clinical development programs and activities. Finally, I would like to provide you with a brief update on our current operating environment. Due to the ongoing impact of the global coronavirus pandemic, we continue to conduct operations remotely for all employees which has allowed business activity to continue as seamlessly as possible. While vaccination progress worldwide in the first quarter of 2020 was encouraging, it is still ongoing. Therefore, we will continue to closely monitor pandemic developments and their associated risks to our business, including our ongoing clinical development of seladelpar in PBC. And we will continue to take actions available to mitigate these risks where possible. As always, all our actions will continue to be guided by our commitment to ensuring the health and safety of our employees as well as patients enrolled in our clinical studies. Sujal?
Sujal Shah: As Dan described, we continue to be very capital efficient. Our balance sheet supported the intensive work we completed in 2020, leading to the restart of clinical development of seladelpar earlier this year, allowed us to both accelerate our activities in PBC and expand our pipeline and has also given us an opportunity to add critical resources across the organization. With cash into mid-2022, we have not been limited in the execution of our operational objectives. As we look to the future, we are grateful for the level of support we are getting from investors interested in continuing to see us achieve our long-term strategic goals. And we believe we have access to multiple potential sources of capital, several of which may be non-dilutive. As we approach the halfway point of 2021, we eagerly look forward to sharing our progress with you in the second half of the year. We're now happy to take questions. Operator?
Operator: [Operator Instructions]. Our first question is from Yasmeen Rahimi with Piper Sandler.
Yasmeen Rahimi: A few questions for you. Maybe the first one is time line related. Can you just maybe provide some color if you're still planning to be on track on enrollment completion for end of this year to ensure top line data for late 2022, early '23? And then I have a regulatory question.
Sujal Shah: Yes, thank you for the question, Yasmeen. We continue to make significant progress every day. All of this effectively is counted by country approvals, followed by site activation, screenings and randomization. So as we've discussed a bit in the past, here with respect to RESPONSE, we anchor on the very significant experience of the global clinical study ENHANCE, where we had randomized 265 patients in just under a year. So our objective remains to enroll RESPONSE by the end of this year. We're still in that early part of the curve, where things continue to accelerate significantly as we get more sites activated. I think we've discussed also, Yasmeen, that there's no question the global pandemic is a factor is a headwind as is greater competition for patients today than when we are in rolling ENHANCE. But our efforts for RESPONSE are on the same scale as we executed for ENHANCE despite looking to target a randomization of 80 fewer patients. So fundamentally, our strategy remains for this global significant effort to offset those headwinds. And I think it will be important for us as we continue to see this progress we're making every day to reassess on a quarterly basis. As of now, it remains our goal, Yasmeen, to get this study completed by the end of the year. And that would effectively put us in a position of having top line data by the end of 2022 or very early 2023.
Yasmeen Rahimi: Thank you for highlighting that you guys were doing the hepatic impairment study as well as the data on the 2-year study of 50 patients that are compensated with efficacy and clean safety. I just want to understand, do you think that, that data as well as the results from the hepatic impairment would be sufficient that you - the ultimate label would allow you to dose-compensated patients with portal hypertension? Or do you think the FDA stands at this moment is that no therapy at this point should be given to this patient population. If you could just drill down a little more, that would be helpful for us.
Sujal Shah: Yes. Certainly, Yasmeen. I think as we've discussed previously, in our prior Phase II as well as the ENHANCE study, we have had patients that have been well compensated cirrhotics, some actually with portal hypertension. So this is an area in which we continue to further investigate. It is an area that we expect to continue collecting both safety as well as efficacy data in the population. And I think this question will continue to be answered by the data sets themselves. And perhaps I'll invite Chuck to speak more specifically around what we've learned thus far and what's important for us to evaluate as we go forward.
Charles McWherter: Yes, sure. And thank you for the question, Yasmeen. As Sujal said, we've - across all our studies, we've enrolled more than 360 subjects with PBC and roughly about 15% to 20% have cirrhosis. We did find patients that we enrolled that had clinically significant portal hypertension, which in a compensated cirrhotic patient reflects a higher risk for liver-related or decompensation events. Just for background, these could be things like liver bleeds, ascites or encephalopathy. Their medical complications that themselves require invasive intervention and reflect increasing likelihood for poor prognosis. So the ability to deliver efficacy in that population, there is an unmet need there. So evidence of - hypertension - measuring portal hypertension is an invasive procedure. And so evidence where it can come from a variety of ways using laboratory findings or noninvasive imaging. This could be things like low platelet counts or typical routine ultrasound can detect an enlarged spleen. And there are some other imaging methods that can detect evidence of portal hypertension without actually having to go through complicated procedures. So we do have some data there. In 2019, at AASLD, we had a poster. I think that's still available on our website. We did a small PK sub-study in patients with PBC. And we found that it was a reasonably comparable exposure. So there was not a real large difference just about a twofold increase in steady-state exposures. And as you can see in the baseline demographics, you can detect that many of these patients had evidence of portal hypertension. So we'll - as Sujal said, we'll continue to expand the study of this important population. We so far feel like the experience has been favorable. But as always, this is something that we have a responsibility to confirm with our both RESPONSE study and our ASSURE study.
Yasmeen Rahimi: And then one last question that we've been getting from clients is, in the past, we have spoken with strategic partnership on seladelpar in NASH. But maybe what would be helpful to understand is, are the strategic players who are interested in NASH, maybe the same players who are interested in and having a therapy such as seladelpar in PBC, if you could just comment on that to that to the extent you can, that would be helpful for us?
Sujal Shah: Yes, sure. Yes. Happy to address that. I think as you're quite aware, NASH and PBC, although both are chronic inflammatory liver diseases. In the one case, you have a highly prevalent disease for which there are no current treatments with respect to NASH. I think some growing level of questions around regulatory hurdles as well as profiles for agents that have been studied to date in that setting. PBC is an area of high unmet need as well. And although there are 2 approved treatments, there are significant unmet needs for PBC patients. A very straightforward regulatory pathway, of course, in the setting of PBC in an area in which we have a significant data that we believe continues to derisk seladelpar. When you asked specifically about strategics, I think there are certainly some who are focused in the liver space in both large unmet need areas in highly prevalent diseases like NASH as well as an interest in areas like PBC. Although there are also some that are more specifically focused on rare - in orphan diseases versus others that really are predominantly focused on a disease like NASH. So it's a bit of a bifurcation, Yas, but I think there are quite a few players that are solely focused in the area of NASH, and then there are some that have a more holistic approach to treating patients with liver disease.
Operator: Our next question is from Steve Seedhouse with Raymond James.
Timur Ivannikov: This is Timur Ivannikov on for Steve Seedhouse. So I just wanted to clarify. It sounds like you haven't started dosing in your Phase III response study. So if you just can clarify that? And then also in terms of the recruitment in the RESPONSE study. So we see 11 sites are up in the U.S. and 1 site is up in Italy, but is this current split driven more by COVID? Or is it more by competition? Because you think Janssen is trying to read out around the same time line as you are?
Sujal Shah: Yes. Good question. So first of all, RESPONSE has initiated. So we are, in fact, screening and randomizing patients in that study. So randomization has, in fact, begun in RESPONSE. To address your question around the sites that are updated on clinicaltrials.gov, of course, we try to update those as frequently as we possibly can. They're not seamless in terms of time lines to getting that information uploaded. But our approach is one in which we're really leveraging the experience that we had again for ENHANCE. That was a study for which we had actually activated sites in 20-plus countries around the world. Of course, in the U.S., given where we are with vaccinations and the numbers relative to the coronavirus pandemic, there's a real opportunity here to accelerate site activations - approvals here and site activations and begin screening and randomization, most predominantly in the U.S. And then when we look at countries in Europe, these are things that we do really largely in parallel. So what you see is a reflection on clinical trials is simply where we've been able to accelerate the approval processes from IRBs and Ethics Committees. In some cases, those take longer time lines, just depending on the country. But I simply say that the process internally here is one in which we try to parallel as many of those country and site activations as we possibly can. Of course, they don't all happen instantaneously. It is a process in which we expect these to continue to accelerate through the rest of this quarter and beyond.
Timur Ivannikov: Okay. And then also in the past, I think you talked about getting - encouraging patients to get a baseline biopsy in RESPONSE, just like you did in ENHANCE. And could you remind us what proportion of patients in ENHANCE got baseline biopsies? And is that sort of your goal for RESPONSE?
Sujal Shah: Yes. It's a good question. So we had about 15% of patients randomized in ENHANCE agreed to a baseline biopsy. Once again, in that study, those patients would not have had a second biopsy until perhaps 2 to 3 years into the long-term study. And so as we've discussed in the past, the change here with respect to RESPONSE, that patients that do volunteer to have a baseline biopsy will have a second biopsy at 52 weeks as an additional safety assessment. And although it's voluntary for patients as to whether or not they elect to get a biopsy in this study, it is required for us to have a subset of patients, of course, for an additional safety assessment at the time of NDA submission. We've had a very open dialogue with the agency around this threshold. Based on the 15% we achieved in ENHANCE, of course, our goal is to achieve something greater but we made a proposal to the agency that they accepted based on our significant level of experience here. This was not prescriptive. It was a very constructive dialogue, I would simply say, and we're confident that we can meet the requirement that's set forth for us here.
Operator: Our next question is from Patrick Dolezal with LifeSci Capital.
Patrick Dolezal: Just on the RESPONSE trial enrolls, and there's a bit of downtime ahead of data. Just curious if you have any further physician KOLs plan to keep the community engaged during this time? And I know it's early, considering you just brought on Lewis as Chief Commercial Officer, but what pre-commercialization efforts - I guess, when will those efforts begin to ramp? And what will those look like?
Sujal Shah: Yes. Thank you for the question, Patrick. We're like-minded, by the way, with the suggestion in your question. We've actually already begun some of the work around market research and pre-commercial efforts. So Lewis has, of course, come on board this week and really hit the ground running. It is absolutely our goal to continue to communicate our strategy and our pre-commercial planning and commercial plans, ultimately. And I would simply say this, Patrick, I think as Lewis gets integrated to the team here internally and the work that's already been done and continues to effectively help us think about the commercial strategy for seladelpar going forward, we will, in fact, look to have an Investor Day in the second half of the year, perhaps even 2. One, that I would envision being centered around seladelpar for PBC, anchored around some of the opportunities, we think, with respect to commercial opportunity for seladelpar and perhaps even life cycle management going forward. And then potentially a second that's more centered around the earlier-stage pipeline with respect to MBX-2982 and CB-0406. Of course, our goal is to make sure that there's a meaningful amount of update and information for us to share. But I would absolutely envision us doing that in the second half of this year.
Patrick Dolezal: Got it. That's helpful. And I know you've talked about primary sclerosing cholangitis before. I would love to hear how you're currently thinking about the potential of seladelpar in this indication? And kind of ultimately, just how you're thinking about a go or no-go decision in pursuing this indication at the moment?
Sujal Shah: Yes. No, another good question, Patrick. Look, I think fundamentally, there's no question in our mind that the opportunity for seladelpar in PBC is a central focus, and one for which, as we've discussed. If we execute appropriately, we have an opportunity not just to be preferred second-line treatment alternative of choice, but potentially to collect data sets that really start to expand the overall addressable patient population potentially in a very significant way. And so we continue to remain highly focused on that objective. We do believe based on the profile of seladelpar in PBC as a cholestatic disease, that there is, of course, promise potentially for the potential of seladelpar in the setting of PSC. There's no question patients with PSC are more heterogeneous, often with more advanced fibrosis, often with biliary strictures, complications also including comorbidity with inflammatory bowel disease. So it is a more complex patient population. And our approach here, Patrick, is really to think about 2 things. One, just the early focus for us to make sure that we get RESPONSE enrolled as quickly as possible, the most near-term derisked opportunity; and then two, to really reconvene with a set of experts in the setting of PSC, where we're continuing to learn more and more about the disease and about treatment alternatives. And then really put together the right development program in a setting of PSC and communicate that when our plans are effectively set and we're ready to act behind it. But it remains an area of focus. It is an area that we recognize as high unmet need. And when we step forward into PSC, we want to do so with a really meaningful and focused development program that's going to generate the kind of data set to really inform a path forward.
Operator: Our next question is from Mayank Mamtani with B. Riley Securities.
Unidentified Analyst: It's William Wood [ph] on for Mayank Mamtani. I was curious, how does the kind of label update read through to seladelpar?
Sujal Shah: Well, I think - again, perhaps I'll invite Chuck to talk more specifically about what we know today. Of course, we only know what's been made publicly available by Intercept to date. And we don't yet have the revised label, of course, for medical [indiscernible] just yet. We recognize that very likely as Intercept has articulated that there could be further restrictions, particularly for patients with compensated cirrhosis and clinically significant perhaps portal hypertension. As we've discussed, this is a patient population for which we've collected some data. In addition to having a sense of the efficacy, which is comparable in the subset of patients we've studied thus far with compensated cirrhosis as it is with those that are non-cirrhotics, we also see comparable safety to date in those subset of patients. We think that could be potentially a significant differentiator, but there's much more data for us to, of course, collect. But perhaps, again, here, I'll pause and see, Chuck, if you'd like to add any additional color?
Charles McWherter: I think that's a pretty good summary. Just to reiterate, it's really important that you study a broad population of PBC patients. You would typically expect that if you're safe and effective, that the population you study will be the label that you receive. But even beyond that, there's a potential for patients who are treated once a drug is marketed for those patients to progress. And if they progress into advanced disease that hasn't been studied, that's a problem. So you do have to study those patients even if you're not seeking an indication. But for us, I think right now, the inclusion, the eligibility criteria really has been non-cirrhotic and compensated cirrhotic patients with PBC. We have included some patients with clinically significant portal hypertension. And if we can confirm the benefits for safety and efficacy, it's the potential path forward for us to have that to be the indicated population, but we'll have to see - wait and see what RESPONSE tells us.
Unidentified Analyst: And then one second question. Could you provide any update on how you are thinking of the next steps in NASH?
Sujal Shah: Yes. Sure. Look, I think our strategy is really consistent with what we've outlined in prior calls. With our focus on PBC, the plan fundamentally, based on the data set in NASH, is to have conversations with other strategics who particularly have assets that can complement the effects we've seen with seladelpar. Just as a reminder, we saw significant effects, in fact, on reducing fibrosis. In our Phase IIb study, although the study wasn't designed to show statistical significance there, we did see meaningful effects. 37% of patients at our 50-milligram dose group with a 1 point or greater improvement in fibrosis and no worsening of NASH versus 20% on placebo. The overall profile of seladelpar is an anti-inflammatory. And now with these data showing the anti-fibrotic effects, we think could be quite complementary to target that otherwise can either cause weight loss or a more significant reduction in total liver fat. And so these are things that we've talked about. We continue to talk about with other strategics. Also very important that any path forward brings with it a partnership with significant resources. Today, we do believe that the most fruitful and derisked opportunity for us is to continue to conserve our capital for what is a very near-term significant opportunity, we believe, in PBC, first and foremost. And so we've articulated that we will not carry forward once again in NASH solely on our own, again, without a partner with significant resources and the right complementary assets. So those conversations are ongoing. They continue. Of course, they're never done until they're fully completed. But we do think seladelpar has a promising profile here, and we'll continue to carry on those conversations.
Operator: Our next question is from Jay Olson with Oppenheimer.
Matthew Hershenhorn: This is Matt on for Jay. So we were wondering for CB-0406, your PPAR gamma. We were wondering if this compound has any CNS penetrability and if that's something you're looking at in the Phase I study? And then also which potential indications, I know it's early, but at the moment, could you potentially envision pursuing ultimately with that asset? That would be great.
Charles McWherter: Yes. Thank you for the question. This is Chuck. Well, I would say fundamentally that we have not seen - we don't believe that this would be a drug that would potentially be targeted towards CNS indications. We do think this pathway, the NLRP3 pathway we recognize has got a lot of attention with respect to [indiscernible] generation, but that wouldn't be our focus. In terms of what we might focus on, I will say that we're very excited based upon the clinical validation of the target and a lot of emerging science in inflammatory driven diseases, including ones that drive fibrosis. We're not really ready quite yet to give any specific guidance, but I think it would - suffice it to say that for us, it starts with the scientific rationale, the medical need, is there a medical need here? Do we believe that it would be differentiated? Development possibility is there a regulatory pathway? Is it feasible to accrue patients and do a trial in a capital-efficient way that gives a meaningful result? And then, of course, there's always the business case. We have to understand the market, what the unmet need is, but the existing therapies, if any, and if there are any emerging therapies so that we have a full view of the landscape before we make a decision. So I think as we alluded to before, we think that once we have the Phase I data and we've completed some of our diligence around making a selection from honestly, quite a number of opportunities that fit what I've just described, we'll be able to communicate that in the latter half of this year.
Matthew Hershenhorn: Okay. Got it. And then we were just curious if you could please remind us actually the expected IP expiration on seladelpar? Really appreciate that.
Sujal Shah: Yes, absolutely. So seladelpar has composition of mattered to 2026, the lysine salt form, which is the only form that's being developed carries to 2026. And that's without the potential for an additional 5-year patent term extension. Importantly, in the setting of PBC. So again, so on the composition of matter, could in theory be taken to 2031, there are use patents already issued as well for seladelpar in the settings of cholestatic diseases, PBC, PSC as well as in NASH and NAFL, those all go to 2035. And then also, we have orphan drug designation in the U.S. and in Europe. So the exclusivity associated with orphan drug designation exists for seladelpar in the setting of PBC as well.
Matthew Hershenhorn: Congrats on all the progress.
Sujal Shah: Thank you.
Operator: And our next question is from Ed Arce with H.C. Wainwright.
Antonio Arce: And congrats on the recent progress, including the filling of your executive team. Some of the questions I had already been asked and answered, but I did have a couple related to MBX-2982. You had mentioned that your goal is to enroll 30 subjects via the investigator who's doing this by the second half of this year. And the primary endpoint is maximum glucagon release. My two questions around this program are where does that endpoint fit in sort of the regulatory pathway? How well-defined and validated? Is there a pathway for this specific indication? And then related to that is, what exactly does the landscape for this indication look like? And where would you potentially see it fitting in, if indeed there are others already in the market?
Charles McWherter: Yes, I'd be happy to take that question, Ed. Thank you. It's a very interesting and important question. Just to emphasize that the study that we've started is a proof of pharmacology study. So as what you've alluded to, it's not actually directed at what you would expect to be a regulatory endpoint. The first thing that we're trying to establish is that we can affect the increase in glucagon secretion in response to the hypoglycemic clamp. So low sugar - low blood sugar conditions. That will be benchmarked. The study includes both type 1 diabetics and healthy volunteers. So we'll be able to benchmark the responses that we see in the diabetics versus what we see in the healthy volunteers. Now we also do include continuous glucose monitoring in the study. So we'll look - be able to examine the effects on restoring glucose levels as well. So that's an important aspect to it. In terms of the product concept, there is no product on the market right now that's a preventative for hypoglycemia. And so the challenge for a type 1 diabetic who's using insulin to try to control their blood glucose, there are always concerns of potential risk inducing - insulin-induced hypoglycemia, especially, as you know, type 1 diabetes could be something that emerges in childhood or adolescence. So you have families that are concerned about their children. Hypoglycemic episodes can happen nocturnally overnight while you sleep. So there wouldn't be anybody around to help deal with the situation. Now they're typically dealt with, for example, just by taking glucose by mouth. You can take glucose pills. And - but there are marketed rescue therapies, glucagons, sublingual glucagon. There are glucagon pumps that are being developed as well. But these are all just rescues. They don't actually deal with the unmet need of having a preventative, really providing the patient and their families with the confidence that they no longer have to be concerned by low blood glucose. And that they basically can be more intentional about using their insulin appropriately to get better glucose control. I think in terms of regulatory endpoints, I'd just say that this would be a first. So that would, of course, have to come through, first, developing the concept, conversations with experts, regulatory interactions. But in our mind, in early discussions, it would really be about preventing either moderate or severe episodes of hypoglycemia. And so those have clinical definitions with various levels of glucose concentrations that define those. And you could use continuous glucose monitors as a way to make the measurements to evaluate the endpoints.
Antonio Arce: That's very helpful. And so just as a follow-up, how would you envision moving forward, taking over from AdventHealth? Were you to see significantly positive effects here that would lead you to want to move forward with this asset?
Charles McWherter: Well, I think we would take the approach that we always take, which is we engage with external experts and develop a deeper understanding of the indication, the patient need, the clinical development as well as what we would understand to be the regulatory environment. So that would require specific regulatory interactions to help define it. And then of course, importantly, you're not going to make significant investments without doing a deeper dive, a full analysis on the business case, what is the commercial opportunity like? And then finally, we'd have to evaluate what's the strategic fit with CymaBay at the time? Where does - where our other assets lie? What are our aspirations? And does the company want to become and we make a decision assuming all of those things lined up, what's the best for the asset? What's the best value we can create, deliver both the patients and to, of course, ultimately, to shareholders? So we would have - we would take that all in, and I think make an objective assessment, let's say, it was extremely positive. Perhaps, this would fit well with CymaBay's future plans or perhaps would come to a determination based upon gaining further understanding that there might be other entities who are maybe more fully invested at the moment in type 1 diabetes who could make more of it than we could.
Operator: Our next question is from Alethia Young with Cantor Fitzgerald.
Alethia Young: Congratulations on the progress. Two questions from me. One, can you talk a little bit about alternate financing something you mentioned there were potential some non-dilutive options. Just wanted to get your thoughts on that? And then as it relates to 0406, can you - have you specified what might be some interesting other programs that go after? And I apologize, one more. Just what are the plans involved around next-generation seladelpar?
Sujal Shah: Yes, sure. Thanks for the question, Alethia. So I'll start off with the first and maybe ask Chuck to comment again on 0406 here. I think, fundamentally, we've had, I would say, prowess of adding a long track record of successfully financing CymaBay with really quality investors. And as we have continued to share data sets that derisk seladelpar, we believe, in the setting of PBC, we continue to see significant interest from investors around various different sources of capital. Given how derisked seladelpar is having Phase III data set, albeit from a study that was terminated early, we also think that there are avenues and potential structures available that are, in fact, non-dilutive. Typically, avenues and structures that would be available for assets that are either approved or approaching approval. So fundamentally, I would simply say that from our perspective, we always think about capitalizing companies to the best of our ability on behalf of our existing stakeholders and shareholders. And we think evaluating various alternatives, inclusive of some of these that are non-dilutive is prudent on behalf of our stakeholders. And in fact, we're confident that we can do the right thing for the company at the right time. Chuck, do you want to talk a little bit more about CB-0406, I think late - again, there's much of what we'll likely discuss around path forward that will come after we conclude the Phase I clinical study, but I don't know if there's anything more you want to say about NLRP3 overall?
Charles McWherter: Yes. Just that I think that it's very evident even a cursory look in the literature will reveal many, many different opportunities where NLRP3 drives inflammation, which then is linked, for example, to fibrosis. I think our focus is a company that's really delved into rare diseases, whether it'd be in the liver or related therapeutic areas. I think at, [indiscernible] you think of the GI tract and made some others you could easily think of makes a lot of sense. So I think that's the kind of thing that you should think of. We're not going to pursue really large, say, primary care indications that really just don't fit with the kind of company that we are and want to be in terms of capital efficiency. At this point in time, there's a number of ideas that we have that we just really can't comment on yet mainly because they're not certain, but also we have some IP considerations that we're currently actively involved in working on.
Sujal Shah: And to your last question, Alethia, with respect to seladelpar and opportunities to continue to invest in the future, yes. I think when we look at our data sets thus far, we're incredibly encouraged by the potential differentiation around alkaline phosphatase normalization, effects on alleviating the symptoms of pruritus, which have not been shown with even first-line treatment alternatives for PBC patients today, nothing approved for treating cholestatic itch and pruritus and PBC patients. These are some of the things that we are largely anchoring around. There are patients whose alkaline phosphatase remain elevated above the upper limits of normal. And while classically, they've not been defined as second-line treatment patients where alkaline phosphatase is, say, above 1.67x the upper limit of normal, they remain at a high-risk of disease progression. So having an agent that's both effective as well as safe and well tolerated for that particular patient population is another potential avenue for growing the addressable patient population for seladelpar. These are some of the areas in particular that we're intrigued in terms of potentially investigating as we move the program forward to completion.
Operator: And our final question is from Derek Archila with Stifel.
Benjamin Porter: It's Ben Porter on for Derek. Most of mine have been asked. I'm sorry if I missed this, but just on 2982. Have you guys given any thought to how you're going to present the data from the Phase IIa, Phase IIa, whether it's at medical conference or does this your PR? Any thoughts there would be great?
Sujal Shah: Yes. Look, I think - yes, go ahead. Go ahead, Chuck.
Charles McWherter: I'm sure we're going to say the same thing. It's always been our approach to present our data as the appropriate scientific or medical firms. So of course, we're partnered in this case with an investigator, and we would need to align with them. But I think that's actually the intent and the objective, the Helmsley Foundation is to create new science that speaks to a potential avenue that could meet an unmet need for type 1 diabetics. So I feel confident that that's the route that we would go when results we'll seek to share them.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Sujal Shah: Thank you, operator, and thank you all for joining us again today. We spent the majority of our time in Q1 on reinitiating our global studies for seladelpar in PBC. And thus far, in the second quarter, we've made further progress with this key primary focus. We've continued to advance 2 promising early pipeline programs. As you've heard today, we've made significant additions across the organization with experienced leaders up and down our teams. We look forward to sharing significant updates with you as our activities accelerate in the months ahead. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.